David Thomas: So I'm going to make a start. Good morning, everyone. Thanks for coming along to see us this morning, and welcome to Barratt Redrow's Interim Results Presentation for FY '26. This morning, I'm joined by Mike Roberts, our Chief Operating Officer, who will provide an update on our operational performance; John Messenger, our Investor Relations Director, who will update on our financial performance. And after John, I will then update on the market, current trading, synergies and also set out how well positioned we are for the future. First of all, I would like to take you through some of our key messages. Barratt Redrow's performance over the half was resilient, both operationally and financially. And that is despite what has been a generally subdued market. While the consumer did benefit from 2 interest rate cuts and mortgage availability improved, consumer confidence clearly remained low. Speculation ahead of the November budget caused many to postpone decision-making. But we have maintained our financially robust position and solid balance sheet. Importantly, the successful integration of Redrow is near completion, and our synergy target remains unchanged. And we are now operating from 3 distinct high-quality brands. Building on all of this, our focus centers on business as usual for Barratt Redrow around both optimizing our capital employed and fine-tuning our costs to ensure that we drive operational excellence and efficiencies across the enlarged group. So that we are going to be -- we feel well placed for the full year and well positioned for future growth. If we look in more detail at the operational highlights from the half year, clearly, embedding Redrow into the business was, of course, a highlight. And we have started to see the benefits of this reflected in our performance with good progress on synergies that I'll cover in more detail later. Our land position is strong at 5.6 years, allowing us to be even more selective around land intake. We delivered 7,444 homes, in line with our plans for the year, which was a good achievement given the market environment. I would also like to highlight some of our externally accredited credentials in the period. Our repeated success in the HBF ratings and in the NHBC Pride in the Job awards are testament to the dedication of our teams across the business as well as to the quality of training that we provide and the customer-first culture we maintain across the group. This quality is also reflected in our Trustpilot scores given by our customers, which award all 3 of our brands with the highest rating of excellent. John will cover our financials in more detail, but just to pull out a few highlights. Adjusted PBT before Purchase Price Allocation impacts was lower than last year at GBP 200 million due to higher net interest costs and lower joint venture profits. So return on capital employed, again, pre-PPA adjustments was in line with last year at 9.1%. We were particularly pleased that nearly all of our GBP 100 million target synergies were confirmed at the end of December. And finally, we finished the year with a solid net cash position after organic investment, which supports our growth plans, also our dividend payments of GBP 172 million and the share buyback of GBP 50 million in the half. With that, I will hand over to Mike, who will now go through our operational performance in more detail.
Mike Roberts: Thank you, David, and good morning, everyone. I'd like to take a moment just to introduce myself. I've been in the housebuilding industry for 32 years, and I joined Barratt back in 2004. I've worked closely with Steven Boyes as Managing Director of our Northeast division. And in 2017, I was appointed Regional Managing Director for the Northern region. In July last year, I was appointed Chief Operating Officer on Steven's retirement. And today, I'll be taking you through our operational performance for the first half. Starting with the private reservation mix on Slide 7. There are a couple of points to highlight. Firstly, PRS. Given the budget uncertainty, the market became harder in the period and potential discounts increased. But we maintained our discipline and were less active. As a result, PRS reservations were a lower proportion of overall reservation volumes at 4% down from 9% in the equivalent period last year. Secondly, for existing homeowners, we saw a significant increase in the use of Part Exchange at 23% of our private reservations, up from 14% last year. We've introduced our industry-leading Part Exchange skills into the Redrow brand. It offers a stress-free moving option for our customers. And at a time when conveyancing chains were a concern for many potential homebuyers, it has proved a popular incentive. To be clear, it's offered as an alternative and not additional incentive. And it's worth noting that the combination of Part Exchange and second home movers remain fairly consistent year-on-year. Part Exchange has been an integral part of our business for many years and stock levels are carefully managed. At the end of the half, we had just 180 units unsold. Turning to completions on Slide 8. We delivered 7,444 homes, an increase of 4.7% on the aggregated performance last year. Both private and affordable completions were ahead, although this is more about timing. So our guidance for FY '26 is unchanged. Underlying private completions were 1.8% ahead and PRS completions were up over 50% to 423 homes. This increase was largely a function of our order book coming into the year. And as I said earlier, the market has subsequently hardened. Affordable home completions were up 26%, helped by the rebuilding of our order book in the prior year and are now 19.5% of wholly owned completions, which is in line with our expected affordable mix. Joint venture completions were lower than the prior year due to timing, but we are on track to deliver approximately 600 units in the full year. In terms of pricing, the wholly owned average selling price was up 4.9%. More detail is provided in the appendix, but this was driven by a combination of mix, producing a slightly larger average unit size and geographical volume variances given the spread of average selling prices between the regions. There were some notable variations by region with our Central and East regions seeing the strongest average selling price growth. Now turning to sales performance here on Slide 9. The underlying private rate remains solid at 0.55 reservations per week ahead of last year, with customers benefiting from an improvement in mortgage availability and affordability. This good performance came despite the uncertainties which overshadowed much of the period. PRS and other multiunit sales effectively paused in the run-up to the budget. And although we saw a pick up afterwards, this added just 0.02 reservations per week over the period, down on last year. We operated from an average of 405 sales outlets, below last year, but very much in line with our plans. David will cover our view on sales outlet evolution later in the presentation. Turning to the private forward order book. This was 10% lower at the half year stage. This partly reflected a high starting point coming into the year, but also the reduced reservation rate, lower numbers of sales outlets and increased completions in the first half, all of which contributed to the overall lower number. Given the solid start to the calendar year, we are confident that we can deliver full year completions in line with the guidance. I'd like to wrap up with our industry-leading credentials around design, build quality and customer service. It's what underpins our brands and is key to our sales success. We achieved a 5-star rating for customer service in the HBF survey for the 16th consecutive year. And our site managers have secured an industry-leading total of 115 Pride in the Job awards and 45 Seals of Excellence. Reportable items per NHBC inspection have increased slightly following the Redrow acquisition, but with opportunities to share best practice across the divisions, we expect to see this improve. And finally, I'd like to take this opportunity to congratulate Dane Mumford from our East Midlands division, who is runner up in the large builder category at last month's Pride in the Job Supreme Awards, an excellent achievement. On that note, I'll hand over to John for an update on our financial performance.
John Messenger: Thanks, Mike, and good morning, everyone. Today, I'll take you through our half year '26 performance, an update on our land bank and also on building safety. Here is an overview of the -- our half year numbers. To be as clear as possible, we have set out here the adjusted pretax profits before PPA adjustments, then the adjusted profit before tax after PPA and finally, the statutory pretax after adjusted items. The first point to note is that both adjusted measures are now stated prior to the impact of imputed interest charges on legacy property provisions. We believe this measure provides you with the best view of the underlying performance of the business, moves us in line with peer reporting and includes the reclassification of GBP 19.6 million of noncash imputed interest in half year '26 and GBP 18.4 million in half year '25, which has been added back in arriving at the reclassified results you see here. We also show the comparables and just to flag the aggregated and reported periods have seen minor restatements for the finalization of the purchase price allocation process, which was completed at the end of last year. I will focus on our performance relative to Barratt and Redrow aggregated for the whole of half year '25. And you will remember, we consolidated Redrow actually from the 22nd of August. So adjusted profit before tax before PPA impacts was down 13.6% in the half year to GBP 200 million, and I'll take you through the key drivers of that in a moment. The good news is that the purchase price allocation impacts largely fall away from next year, which will make all of our lives a lot easier. Slide 13. This slide looks at the margin performance in more detail, and there are several points to highlight. The increase in home completions, coupled with an increase in ASP, generated revenue growth of 10.5% to GBP 2.6 billion. However, the adjusted gross margin was 200 basis points lower at 15%, giving an adjusted profit of GBP 394.8 million. There were 3 drivers behind the margin movement. Firstly, while we benefited from growth in completion volumes, underlying pricing was flat. We then saw 2 headwinds on 2 fronts. Our targeted but increased use of noncash sales incentives, particularly extras and upgrades to convert reservations against the challenging backdrop through 2025 was a negative to gross margin. These incentives added directly to cost of goods sold and had a direct impact on the gross margin. And we also experienced underlying build cost inflation of approximately 1%, including procurement cost synergies. At operating profit through both cost discipline and the benefit of cost synergies, adjusted operating profit before the impact of PPA adjustments was flat at GBP 210.2 million, with the margin down 90 basis points to 8%. I'll cover margin movements in a moment, but just the final parts in the mix here. Adjusted finance charges at GBP 12.4 million compared to finance income last half at GBP 12.2 million. This reflected reduced average cash balances, utilization of our RCF in the period and the imputed interest rate on new land creditors relative to those being settled. And JV income with lower completions in the period has reduced to GBP 2.1 million. As a result, adjusted PBT before PPA impact was GBP 200 million, giving an adjusted earnings per share of 10p. And we have proposed an interim dividend of 5p per share with our 2x dividend cover ratio in place for the full year. In summary, we saw good momentum on home completions and are pleased to see the benefits of Redrow integration coming through. Looking forward, there are clear opportunities to improve our gross margin, which David will cover. Turning now to our land bank on Slide 14. A steadier pace of land acquisition, growth in completions and the reclassification of some Redrow plots into our strategic land bank has seen the duration of our owned and controlled land bank move to 5.6 years in December. Our land bank is in a strong position and very consistent with our plans to optimize our capital employed, as David will set out. A key metric here on the slide, which we are increasingly focused on is the average number of detailed consented plots on each of our sales outlets. This is clearly a function of the size of the outlets and the time frame over which it has been actively selling, but we are looking to ensure our land bank is efficient with sales outlets sized to deliver typically sales over a 3- to 4-year period. And with more than 27,500 strategic land bank plots submitted to local planning authorities across 103 applications, we expect to make further progress on strategic land conversions over the coming years, too. Now looking at our embedded margin in the land bank. Here, you'll see the updated plot distribution of embedded gross margins across our owned land bank plots. There are 3 moving parts to highlight. First, a positive 40 basis point impact, reflecting the plot mix traded out through completions this half at a margin of 14.5% after including the PPA impact. Second, a negative 90 basis point impact from the flow-through of flat pricing, build cost inflation and incremental sales incentives. And thirdly, a 20 basis point improvement from land acquired in the period at a 23% gross margin. As a result, the embedded gross margin ended the half 30 basis points lower at 18.9%. Improving the embedded gross margin is a clear priority. With little movement on pricing, we will do this best by managing cost base inflation, driving development pace and buying land appropriately. To Slide 16. Here, we look at our adjusted operating margin and the bridge. On a pre-PPA basis, including Redrow for the full 26 weeks, this was 8.9% for the combined operations in half year '25, first column shaded here on the left. We saw a benefit of 40 basis points due to the gearing effect of higher volumes. The combination of flat pricing, but underlying build cost inflation of 1% and the targeted use of noncash incentives created a negative inflation impact of 90 basis points. Completed development provisions reflect the local authority delays in adoption of roads and public spaces accounted for a negative 40 basis points. The impact of cost synergies, which I'll set out in a moment, added 90 basis points, and these savings covered off both the underlying inflation in our admin expenses as well as mix and other items. This has resulted in the operating margin before PPA impacts of 8% for the half. And finally, you can see the PPA dropping off to deliver the 7.5% margin on an adjusted basis. Turning to administrative expenses and adjusted items. We reduced our adjusted admin expenses by 5.4% in the half year to GBP 184.8 million when compared to the aggregated business last year at GBP 195.4 million. We also then show the adjusted items here in arriving at our reported admin expenses at GBP 208.7 million. This included adjusted items charges of GBP 23.9 million with GBP 18 million charged on further restructuring and integration and legal costs on legacy property recoveries at GBP 5.8 million. Whilst not shown here, the net impact of adjusted items in the period was GBP 10.5 million, with significant legacy property-related recoveries from third parties of GBP 13.4 million recognized in gross profit. It's positive to see both cash-based adjusted items falling away as well as receipts coming in with respect to building remediation. Here is just a quick bridge in terms of the admin expenses. The movement in admin expenses from the aggregated base of GBP 195.4 million to the GBP 184.8 million is set out on this slide and shaded light green. We saw an increase of GBP 4.3 million related to changes in national insurance contributions and a further GBP 8.1 million from cost base inflation. Cost synergies then delivered a GBP 23.2 million positive impact, which were then coupled with a reduction of GBP 0.2 million in sundry income, which covers JV management fees and ground rents delivered the outturn of GBP 184.8 million. It is positive to see the synergies we identified at acquisition having a meaningful impact on our profit and loss account. Turning to Building Safety, where I'm pleased to report that there is very little to cover. There were no changes required to our provision position and having spent GBP 77.8 million on works across our Building Safety and reinforced concrete frame portfolios in the half and seeing the unwinding of imputed interest of GBP 19.6 million, our total legacy property provisions just sat at just over GBP 1 billion. To cash flow. Slide 20 sets out the cash flow bridge for Barratt Redrow from reported operating profit on the left to the net cash outflow on the right. We have just a couple of cash flow numbers to point out. The biggest driver of cash outflow in the period was the seasonal increase in construction work in progress alongside Part Exchange investment, together equating to just over GBP 313 million. 3/4 of this is construction work in progress, very much following our sales cycle and construction seasonality. Our net investment in land was relatively modest at GBP 68.7 million. And adjusting for the dividend payments of GBP 172 million and GBP 50 million in share buybacks, the net cash outflow was just under GBP 600 million. We would expect an inflow of circa GBP 300 million in the second half and for the year-end cash position to be in line with guidance at between GBP 400 million and GBP 500 million. Fees, we have included on the slide here, a reminder of some of the other relevant guidance points around cash flow. Turning to Slide 21. Here is our usual balance sheet breakout. Liberty really to highlight. Over the 26 weeks, we saw a GBP 21 million net investment in our gross land bank and land creditors reduced by just over GBP 42 million, giving a net land position at GBP 4,358 million, with land creditors funding 15% of our land investment. Land creditors clearly remained below our target range of 20% to 25%, but we are looking to add a larger portion of land purchases on deferred terms to take us towards our target range and also to manage our land bank more efficiently, as I alluded to earlier. The other balance sheet item to mention here, as already discussed by Mike, is our part exchange investment -- sorry, Part Exchange investment, which you can see closed out at GBP 219 million with GBP 74.7 million added in the half year period. Before I wrap up, I thought it would be helpful to remind you of our capital allocation priorities set out here. Our enhanced scale and balance sheet strength clearly put us in a strong financial position. But we are very mindful of the obligations we have, particularly with respect to building safety, how we are managing this appropriately. The Redrow acquisition has multiplied the opportunities we have to drive growth and value from the business. So we will invest in these, but at the same time, we will look to drive efficiencies in the way we manage both our capital employed and our cost base. And finally, we recognize the importance to our shareholders -- our shareholders place on capital returns. We have a clear dividend policy, and this is alongside an active GBP 100 million buyback program with GBP 50 million completed in the first half and a further GBP 50 million underway and set to complete in the second half of the year. So to summarize, our operational performance in the half year has been resilient, and that's despite the macro uncertainties faced. Our balance sheet remains solid, and we are capturing the cost synergies from the Redrow integration with our cost synergies confirmed. Turning to guidance. You will find a detailed slide in the appendices, but I thought it helpful to cover the main points here. As previously set out, we expect full year '26 total completions to be within the range of 17,200 to 17,800 homes. Underlying pricing is expected to be broadly flat, and we expect build cost inflation to be around 2%, including the benefit of procurement synergies. Reflecting the reclassification of imputed interest on the legacy property provisions, we anticipate an adjusted finance charge of approximately GBP 30 million with provision-related adjusted item imputed finance at GBP 32 million for FY '26. And our building safety program remains in line with guidance at approximately GBP 250 million of spend in the year. And we expect to finish the year with between GBP 400 million and GBP 500 million of net cash. Happy to take questions later, but I will now hand back to David. Thank you.
David Thomas: Thanks very much, John. I'd like to start this section with an overview of the housing market. So we've talked before about the fundamentals of the market, which underpin our sector, and these continue to be strong. There is a long-standing imbalance between demand and supply. The challenges for our industry are affordability constraints on the demand side and planning constraints on the supply side. Housing and planning reforms are clear priorities for the government, and we welcome the steps that they are taking to improve the planning environment. However, it will take some time for these reforms to feed through at a local level and with many local authorities having elections in May, the planning backdrop in those areas could remain challenging until the second half of the year. Meanwhile, some of the near-term indicators on the demand side are more encouraging. Uncertainty has definitely moderated post budget. Markets are pricing in further interest rate cuts and mortgage availability continues to improve. But consumer confidence remains weak. And despite some slight improvements, affordability remains challenging, particularly for first-time buyers needing to bridge the deposit gap. In this environment, we recognize that self-help measures are very important. As Mike outlined, we continue to develop our Part Exchange offer, particularly for Redrow. And in the half, we also launched our own shared equity offer alongside our popular first-time buyer and key worker schemes. We continue to believe that the key to a sustained recovery in the housing market and volume increases across the sector is government support for prospective homebuyers of the type which has been in place for many decades until 2 years ago. Overall, given the market context, recent trading has been resilient. We have seen encouraging consumer activity since the budget, but consumers are still taking their time. So our net private reservation rate over the 5-week period was down slightly on last year. The FY '26 opening order book and slightly improved affordable housing sector backdrop means that year-to-date completions and forward sales are both ahead of the position last year. But there continues to be a lot of political and economic volatility at the macro level, which is clearly unhelpful for consumer confidence. So given the broader market context, for us to maintain a sharp focus on efficiency and leveraging the benefits of the integration is going to be key for Barratt Redrow. So I'd like to give you an update on our synergy program. If we start with cost synergies, we have confirmed our target of GBP 100 million of annual cost synergies. In FY '25, we delivered GBP 20 million of cost synergies through the P&L, as you can see on the chart. We expect to deliver a further GBP 50 million through the P&L in the current financial year, having already delivered over GBP 30 million in the half year. So we are very definitely on track for that cost synergy delivery. Looking at revenue synergies. Our target is to open 45 incremental sales outlets. To date, we have submitted 31 planning applications, of which 16 have already received approval. We are on track to submit the remaining applications in the second half of the financial year, and we expect the first sites to be ready for sales opening at the start of FY '27. Moving on to outlets. As we've said, the planning reform is positive, but we do have to experience that improvement on the ground. So as we've previously guided, we expect average outlets to be flat in the current year, but we would expect to see a good uptick in FY '27, both through organic growth and with around 15 synergy outlets coming on stream. This should bring average outlets for FY '27 to between 425 and 435. Importantly, given the strength of our land bank, we do not have to make significant future land purchases to drive our outlet opening plan. It is primarily about using the land that we already have. So as you can see, our integration activity is largely complete. Looking forward, our focus is on 2 key areas: optimizing our capital employed and fine-tuning our cost structure. This half, given the strength of our land bank following the combination and our land approvals in FY '24 and FY '25, we have substantially reduced approvals. But alongside some land swaps and land sales, we will continue to make targeted acquisitions, and we anticipate approval of between 10,000 and 12,000 plots in FY '26. Dual and triple branding our sites means we can reach more customers, which should improve our sales volumes and help our asset turn. Turning to costs. Given our scale and reach, we see opportunities to drive efficiencies across our supply chains and to make marginal reductions in our overheads. This discipline is business as usual for us. Pulling this together, we remain very confident that Barratt Redrow is best placed to navigate the market for all points of the cycle. Fundamental to this are our 3 high-quality and differentiated brands, and we have the skills and experience to deploy them effectively. These brands allow us to operate in a variety of locations and local markets with the optimal divisional infrastructure to match. Our customer focus has been established by our numerous third-party credentials over the long term. We are the reliable partner of choice across the private and public sector, allowing us to be flexible and innovative. Our reorganized divisional structure and brand portfolio positions us well for growth over the medium term. And finally, we remain financially strong with a robust balance sheet and a solid net cash position. So to wrap up, we do have 3 high-quality differentiated brands. We have a strong land bank. We have clear visibility over our outlet opening program, and we are a leading platform for growth. Virtually all of the GBP 100 million of synergies are confirmed, and we expect the integration to complete by April this year. Looking forward, our focus will be on continuing to drive our operational efficiency and using the opportunities we have identified to drive growth and value for all of our stakeholders. Thank you. Thank you very much for that. And we're now going to open up for Q&A. John is going to facilitate the Q&A, and he is looking forward to the large number of questions that I know you're going to put his way.
John Messenger: If we just -- we'll start in the front row, Chris, and I think you need to pull and press basically. Great. Chris Millington.
Christopher Millington: So I just want to ask about the pricing experience so far in calendar year '26 and whether or not you've seen any sort of improvement there, obviously, with incentives. And perhaps you can just put a regional overlay on that. Second one is just around the outlet opening profile. It's a big ramp-up you've got there. Now if I understand what you said correctly, is you're going to be flattish in the second half, but then potentially up at GBP 430 million next year, so roughly about 8% growth. Now if that's linear, it means the opening close is going to have to be 16-ish percent higher. I mean it feels a big number with some of the uncertainties out there, but perhaps you can give me some confidence there. And the final one is just really about the gross margin in the land bank. It looks like you're taking the lower-margin plots at the front end that makes a little bit of sense because of the new land coming in at higher margins. But how long do you think you get to the average land bank margin. Because you're kind of under-indexing what, 400, 500 bps at the moment versus our average.
David Thomas: Chris, thanks very much. I mean if I take in terms of pricing and incentives to start with. And then I'll say a few words about outlet opening and then John will follow up in terms of outlet opening. And then John will pick up in terms of gross margin. So I think in terms of pricing and incentives, I mean, the first thing that I would just put in context is that if you went back to August '25, we started to see a lot of news flow about what may or may not be in the budget. And at the beginning of October, we made a very conscious decision that we needed to push harder in terms of incentives, not in terms of gross price, so generally keeping gross price as is, but pushing more in terms of incentives. And I think that's seen a step-up in relation to Part Exchange, a step-up in relation to related incentives. Coming into the new calendar year post the budget, I just think we've seen a higher level of customer interest, and we probably have a bit more confidence in terms of our ability to maybe gear back a little bit on incentives, not in that we're going to move it 1% or something in a short period of time. But there is just more interest out there. And I think all of our divisions feel that, that is a slightly better backdrop with a possible caveat around London, which I would say is pretty much unchanged. And then just before I pass over to John, in terms of the outlet opening program, I think the really key point is that we have the land under control. In terms of our FY '27 position, we're in the high 90s in terms of having a planning position in relation to that. And we would see some uptick in outlets late in this year, which will not impact reservations. And we overall will see quite a substantial uplift in FY '27. But I think the key point is we don't need lots of planning to deliver that. And bear in mind, a big chunk of it is coming from synergy outlets, which are already under our control. John, do you want to...
John Messenger: Yes, David had stolen some of my thunder with the synergy points, but there you go. Yes, if you look at where we are broadly at the end of this year to where we'll be at the end of next, a big part of that is effectively 30 synergy outlets in there, which will leave you with a balance of 20 to 25 that need to come through the organic route, Chris. And I guess we are certainly comfortable in terms of that profile coming through. And when we look at the timing of it, there is quite a significant outlet opening program clearly across '27, but there will be certainly a decent boost in the second quarter, which will obviously lead us into the spring selling season for Q3. So part of it is very much kind of profile across the year, but we actually have a pretty useful program planned for the second quarter, which will obviously give us a January start into that new calendar year. The other one was around gross margin. Just to be clear, the embedded gross margin at 18.9% is post PPA. So it's all in. So the Redrow plots are in there, including the PPA component. So we expensed at 14.5%, as you saw in the slides. The embedded is 18.9%. So you've got a kind of 440 basis point differential there. I think when you look at the length of the land bank at 5 years, clearly, the average to get there, we're probably talking about 2.5 to 3 years realistically before you're going to hit that point because obviously, it's partly about the timing of when we purchased and when those new sites that are coming in at a higher gross margin start to really feed through in terms of volumes, not just in reservations, but in the completion mix. So I hope that's helpful. Will Jones at Rothschild Redburn.
William Jones: Will Jones at Rothschild & Co Redburn. Maybe just 3, please. Perhaps just touching base on build costs. I think your guidance for the second half implies about 3% perhaps including some synergy benefit as well. So just the moving parts within the latest on build costs. Secondly, perhaps just more of an overview inflection 6 months plus on from the formal integration, just your view of how the Redrow brand and business is performing post acquisition. And then lastly, if we just cover off on building safety. Obviously good to see no movement in the provision, but just your level of confidence as you assess the portfolio and what you may still not know about potentially as we look forward.
David Thomas: Yes. Okay. Will, thank you. So Mike will pick up in terms of build costs, and I'll pick up in terms of Redrow and building safety. So I think in terms of Redrow, we said at the time, we are admirers of the Redrow brand. We think it's an absolutely fantastic brand. And getting Redrow really focused on the heritage brand because inevitably to grow the business, Redrow were doing more than just heritage. And we think Redrow really focused on the heritage brand. It's where they want to be and it's where we want them to be, and it is the premium brand in our portfolio. In combining with the business, they have a fantastic land bank. And so I think the opportunity for us to be able to take Barratt through the Redrow sites to work together and maybe Barratt deliver more of the affordable housing, for example, alongside the Barratt housing is a really big opportunity. And then where we have sites where perhaps we were already Barratt and David Wilson, and we might have sold land to a third party, we can bring Redrow on to those sites, and we clearly have a number of those sites. And both in terms of the synergy sites, but I mean, the synergy sites are just the start of the story. I mean, I think all of our land acquisition going forward, where all 3 brands operate in that geography, then we are looking for opportunities for those brands to operate well. So I really feel that in terms of the brand, the consumer proposition and in terms of the build sales teams, it's really done well and really integrated well. So that's all positive. And I know we've touched on the synergies, but I think it's just pleasing to be in a situation that we've effectively banked the GBP 100 million of cost synergies. We're obviously looking for more, but the reality is that our main focus now is on the delivery of those cost synergies and then ensuring that we get the revenue synergies executed, which I think we're well on with. In terms of building safety, John said that we are pleased to really be saying nothing. I think that's a nice position for us to be in. I think it's too bold for anyone to say we're absolutely comfortable with all our provisions and so on. I mean, I think everyone has seen that the evolution of this has been challenging. But we feel that we really have our arms around both building safety in terms of the remediation of buildings and also concrete frame. So both parts of it, I think, are moving well, and we'll just continue to update on a 6 monthly basis. Mike, do you want to pick up build costs?
Mike Roberts: Yes. So we've guided inflation at around 2% for the full year. We estimate that, that will be split between labor and materials, 1.5% labor, 0.5% materials. Labor generally, we're seeing 2% to 3% price pressures, really around National Insurance and salary reviews as per would be the norm. What we're not seeing is any inflationary pressure around scarcity of labor or labor availability. So there is no excessive pressure on the inflation for the labor content. The materials, pretty variable. Actually, we've obviously bringing the Redrow business into the Barratt, David Wilson team. We've improved our procurement capabilities. But we've seen bricks and blocks around 3% unengineered timber up at maybe 10%, but lots of materials at flat line or very low digits really. So overall, we're pretty confident that we'll be able to land that at around 2% for the full year.
John Messenger: Emily Biddulph, Emily at Barclays.
Emily Biddulph: Emily Biddulph from Barclays. I've got 2, please. The first one just on how we should think about the margin bridge, I suppose, for the second half of the year. Conscious you've guided build cost inflation higher, but presumably the way that you account for that, you sort of already reflected that in the first half margin. And then the sort of positive things around the potential for incentives to be a touch lower. Is that sort of the way we should think about it? And then on top of that, can you just remind us the sort of the extent to which you benefit from sort of fixed cost of goods and some leverage over that in the second half of the year and potentially that sort of a little bit of land bank evolution. Can you give us a sense of sort of what the magnitude of that might be? And then secondly, I think David mentioned the sort of evolution of the part exchange offering in Redrow. When we look at that on the balance sheet, is there a number that you sort of -- you're comfortable with it sort of ticking up to be? Or is that the way -- is that what you're sort of trying to tell us that it might actually be a little bit more on the balance sheet towards the end of the year? Or how should we think about it?
David Thomas: Emily, thank you very much. I think that first question you sort of asked and answered it at the same time. So you've given John too much of clue.
Emily Biddulph: Can you give the whole margin bridge?
David Thomas: Yes, yes . Yes. So John will cover the margin bridge. Look in terms of Part Exchange, I mean, I think most of the housebuilders have a Part Exchange offer. It is a fantastic way for us to compete in the marketplace. I mean, bear in mind that the vast majority of customers sell a secondhand home and buy a secondhand home. So where we are able to break into that, we are best to break into it with a part exchange offer. And I think you'll see that part exchange is 2 things for us. One is we have something that we would call movemaker, where we would effectively give a commitment to buy the property, but we would primarily focus on the property being sold before we get to the point of completion on the new build house. And then we would then have a part exchange offer where either that movemaker doesn't work or we agree to take the property from the beginning. The number of properties and the value of properties is not a huge concern to us. I mean the operational and the financial risks are similar. And Mike touched on that. We have about 180 properties that are not reserved, which I think when you look at the size of the group across 30 divisions or 32 divisions is a small number of properties. So the more part exchange we can do in the current market, the better. In terms of Redrow, Redrow did have a movemaker equivalent, and they did have a part exchange offer. But I would say that they were reluctant to use it. And we just see in the market that we need to do more of it. And so the Redrow position in the underlying numbers has grown from what in the FY '25 was around about 2% of their business was using the PX offer to it now being kind of above 10% of their business is using the PX offer. So yes, we're very, very positive about that offer in the market.
John Messenger: And then just to pick up on the margin bridge, Emily. So I think there are probably 4 aspects to this to keep in mind in terms of the bridge from last year to this year. First, plot mix-wise, which was mentioned there, if we look at the delta, I guess that implies with 440 basis points from where we reported in the first half to the average in the land bank, that broadly equates to 80 or 90 bps per annum, thinking of that movement. So that's probably, call it, 50 bps in the half year period, if I was looking to try and work a number through there, Emily. Second one is then on build cost inflation. And you're correct in terms of given the accounting approach and margins on site-based approach, a lot of that cost inflation is already built into the margin that we're recognizing. But there clearly, we've got to work hard in the second half to control and limit that impact from build cost inflation. But the positive on the other side of that is clearly from an incentive level where we added circa 1% to our incentives in the first half, that was very much driven by the budget and the need to convert people and to give people a call to action effectively to reserve and move through to completion. Obviously, as we work through the spring and given we've had a pretty encouraging start certainly in the 4 weeks of January post the first week we had, then we'll be working site by site, literally trying to move and make sure that we're optimizing both the balance of volume and value and that around the incentive that's applied. So there will clearly be a push to try and work as we can to get that incentive lower. And then finally, on the volume gearing aspect, when you look at our volumes, we're broadly 40% more volume in the second half than the first. That mathematically obviously will come through in terms of operational gearing, and that should again help on the second half margin. But those are the 4 ingredients in terms of that movement there. Thanks. I think over to the other side, Aynsley and then Clyde.
Aynsley Lammin: Aynsley Lammin from Investec. Just 2, please. Just picking up on your comment actually around the sales rates. John, just I think you said the last 4 weeks particularly have been good. Just wondering if you had any more color. Has it been progressively improving. And when -- you've maintained your full year kind of completion guidance, but I think you mentioned that also depends on sales activity. How much risk is there? What do you need to see in the spring selling season to kind of meet that full year completion guidance, I guess? And then second question on the provision, as you say, good to see it kind of stay around the GBP 1 billion level. But could you just remind us how long you expect to work through that and what the kind of annual cash outflow profile looks like during that period?
David Thomas: Okay. Aynsley, so I'll just make sort of comment on the sales rate and the sales risk and pick up on the provisions. I'm just going to answer them both. That's it. Yes. Look, in terms of sales rate, I think that we had quite a bit of debate about this, okay. So the reality is we've always said we're not going to split current trading, whether that's positive or negative because it's such a short period. And then we get into saying, well, the first week was this and the third week was that and so on. So we're not going to kind of break with that. But I think what we would say is that our business is positive about what we've seen during the month of January. And December is always a tricky month. But when we come into January, we've just seen good consumer interest, good level of appointments and reasonable levels of reservation. Now bear in mind that we're not comparing really to last year. We're presenting the numbers compared to last year because that's the convention. But we're really talking about what was it like in October compared to what is it like in January, and it is substantially better in January than it was in October. That's the reality, that October, November period. In terms of looking at the risk, I mean, we are sort of really working on the basis that we need to sell at about 0.6, and we feel comfortable in terms of that sale. And we give ranges, you're sort of -- it's a problem if you do and it's a problem if you don't. So I would say that we've got a high level of confidence of hitting the midpoint of the range. And we don't see lots of downside to that and potentially, there's a little bit of upside, but I think we've got to focus on that midpoint of the range. And then -- sorry, provisions. Yes. So the cash run rate on provisions, well, my sense is that there's another 4 years at least in terms of runoff of the provisions. We would expect expenditure will start to accelerate in '27. So there's a huge amount of setup to be done to get the developments through the building safety regulator because all of these developments have to go through the building safety regulator. We see that, that backdrop with the building safety regulator has improved from where it was 12 months ago, there's much more transparency about what is happening, but they have a huge amount to address in terms of the backlog. So getting stuff through the building safety regulator and therefore, substantial expenditure in '27 and '28. But realistically, on a GBP 250 million run rate cash spend this year, I think we're very unlikely to be above that cash spend, and we'll just run it off over the next 3 or 4 years.
John Messenger: Clyde.
Clyde Lewis: Clyde Lewis at Peel Hunt. Three, if I may as well. Probably following up on Aynsley's question there about sort of recent activity. I mean I'm still a little confused as to where we are because normally, spring is the best selling season for all housebuilders. And obviously, we've had a pretty shocking October, November, December period. So there's a catch-up. And I'm just, again, really trying to get a feel for whether it really does feel better than last spring or spring in '24 or spring in '23 compared to where you would have been in Q4? I understand clearly, it's better than Q4, which it traditionally is. So just pushing a little bit more on that. On land creditors, I suppose, interested to hear how quickly you think you can get into that range of 20% to 25% that you're talking about. And inevitably, there's a trade-off with chasing a higher gross margin on new land sales. So just interested in, I suppose, probing that a little bit more. And the last one was obviously, I can't not ask it, was really the government support. And David, you've mentioned it. Others are increasingly mentioning it in their updates. Do you think the government is starting to move to think about this a little bit more? From what I understand, treasury is the bigger blocker rather than maybe the political side, but I'd be interested on your views there.
David Thomas: Yes. Okay. I feel I've sort of had to go at the sales rates and stuff. So I think I'm going to ask maybe Mike to comment on it, looking particularly at where we were October, November compared to where we are now. I think that's really the key thing. But I would say on the sales rates, our forward forecasts are very much thinking, okay, we need to be at this level of 0.6, which we're not far away from. In terms of land creditors, look, I think probably just 2 comments. I mean, one, us increasing the land creditor position is obviously dependent on land intake. And our land intake in the first half is -- our land approvals is obviously very low, the first point. Second point, I think when you look at the next couple of years, it would seem that there is going to be a huge amount of land coming through planning. So John referenced in his presentation that we have more than 100 strategic sites in for planning. So what I would see is that the ability to defer land payments will be greater if there is much more land coming into the marketplace, and we're already focused on the deferral of payments. So I think it's very achievable to get into that higher banding of kind of 20% to 25% in terms of land creditors, but it will depend on land intake. In terms of government support, well, I think really 2 things. I think everyone would agree, I believe that everyone would agree that you have to address the supply side. If you don't address the supply side, then you are just going to create issues by putting in demand side support. So I think that's kind of been well documented. So the government have really got after the supply side. Now I understand it hasn't changed yet. But from what we can see, the supply side changes are far more powerful than the original conservative government, national planning policy framework, et cetera. And therefore, numbers can go much higher. We're back to top down and there's an obligation on the local authorities of some scale. That is not going to improve the position on affordability in the short term. Even if you believe that there'll be a lot more supply in the future, there won't be a lot more supply to change the affordability equation over the next 12, 18 months. So we do think the affordability equation is key if we want higher volume levels. So we are doing the self-help. We've got a shared equity offer. We're doing part exchange. We're providing good incentives to our customers. but government stimulus would be a game changer in terms of the demand side. And the industry, it's not only bad at Redrow, but I think the industry have been kind of uniform in saying that they're quite happy to pay. We launched the scheme with government back in 2012, and we paid for that scheme. So the reality is that we are very happy to pay for the scheme, but we think it would be a game changer, and that would be particularly true in terms of London and the Southeast. John, do you want to -- sorry, Mike, do you want to answer?
Mike Roberts: Okay. I feel like I might just be repeating on what David said when he answered the question, but just trying to add a bit more color. We certainly saw after the budget a level of interest and leads and web visits and the like from the market. I guess that's because there was no negative news in the budget around housing. I think that carried on through Christmas, and we have seen an uptick since the October, November performance in the trading since Christmas. I think in the slide, we say that it's very slightly down year-on-year. I think there's a slight anomaly maybe in the first week. But if you look at more recent trading in the last 4 weeks or so, 5 weeks, then that is in line year-on-year and gives us every confidence that we'll hit our full year completions. So really the message is year-on-year, it's the same, and we're confident we'll hit our completions.
David Thomas: Allison, I think in the middle there.
Allison Sun: Two questions from my side. So one is on following up on the demand stimulus. Because if you said builders are happy to contribute to the scheme, do you think that it will probably increase the chance for the government want to actually launch something given right now, there's a lot of political noise going on right now as well. And the second is on the outlets. If I can follow up a little bit as well because you said for 2027, you're expecting average outlets around 425 to 435, right? So that's probably an incremental of around 20 to 30 year-over-year. But I mean I might remember it completely wrong, but I think previously, you are probably more guiding around 30 incremental outlets opening. So I don't know if there's any color you can give on maybe the planning environment or maybe why it's not hitting the 30 level instead of 20, you said 30.
David Thomas: Okay. So John will pick up in terms of the outlets. So yes, I mean, look, I think in terms of government, I mean, I do understand that the government position in terms of funding generally has got challenges. So I think the reality is that the housebuilding industry, I mean, mainly through the HBF, our trade body, have been very clear that if there was a new scheme, then the housebuilders would expect to pay for it. And as I say, we launched the scheme in conjunction with government in 2012, pre-Help to Buy, and we paid for that scheme. So I don't think the idea that the housebuilder is paying for a scheme is unusual. So yes, of course, that will help, but there are clearly other considerations that the government have to take account of.
John Messenger: And then on the outlets, your math is correct, Allison. So probably 20 to 30. I think we were more at the 30 end of the scale. I think we still are, but we just have to be pragmatic in terms of -- I think everyone in the room is aware that planning is taking time, and Mike mentioned it earlier to see the actual on-the-ground benefits of that coming through. So we're shooting to deliver 30. But clearly, setting a banded range there of 20 to 30 outlets just looks a prudent position to be holding. But clearly, all of our divisions and all of our teams are working damn hard to try and pull through outlets and get them opened because ultimately, that's going to drive our top line and drive the volume growth as we look forward. Zaim next door, and then I'll come forward to...
Zaim Beekawa: The first would just be on the PRS market, the view for the remainder of the year and what's in your expectations. And then secondly, I think you mentioned 31 planning applications submitted and 16 approvals -- 16 received back. Sort of any anecdotes on how easy or quicker has those been since all the government changes would be helpful.
David Thomas: Yes, of course. So if I pick up those. So I think in terms of PRS, and again, just in context, that the PRS market was building a lot of momentum pre the budget in 2022. And the reality is that the funding costs for the PRS operators as they did for everyone changed fundamentally. So I think there was less activity in the marketplace, first of all, simply less people looking to buy PRS. I think we're seeing the return of more interest in terms of PRS. We announced in, I think in '21 and it became effective in '22, our cooperation with Lloyds Bank and Lloyds Living. And we have undertaken 3 groups of transactions with Lloyds Living. We've undertaken transactions without other PRS providers as well. So we felt that setting a range of 5% to 10% of our completions being through PRS was the kind of range that we felt comfortable with, which we set out last year. So we are definitely still looking to do PRS, but we're only looking to do it at the right price. It's something that can work very, very well for us in terms of return on capital employed, very well in terms of the efficiency of our build teams, but we've got to make sure that we are pricing it properly. I think in terms of planning in relation to the synergy sites, I don't think there's been any particular issues. I mean, bear in mind that these sites have already got a detailed consent. We would probably have expected to have been able to agree more plot substitutions rather than having to go to a full committee. But I mean that kind of is what it is at a local level. So again, we're very confident we will get the planning and we will get those outlets through as we outlined in FY '27.
John Messenger: Alastair down in the front and then back to Rebecca.
Alastair Stewart: It's Alastair Stewart from Progressive. Three questions based actually on one slide -- on one chart on Slide 7. In terms of the moving parts in the private reservation buyer type, the biggest change was in part exchange going from 14% to 23%. Obviously, Redrow's greater uptake is a big part of that. But was it all? And within part exchange, do you get a sense of how many people using it in the secondhand going into new? Is it they have to use it because they just get stuck in chains elsewhere. And how much is it a nice to have? Then the next one was first-time buyers going from 31% to 33%. Do you get any sense in there how much is Bank of mom and dad and how much is using your own Part Exchange. And then finally, following on from the previous question, PRS and other going from 9% to 4%. You said you were originally aiming at 5% to 10%. Can you -- is it going to take some time to get to the top of that range? Or are the financial costs for PRS investors just too high at the current moment?
David Thomas: Thanks, Alastair. I've never answered 3 questions on 1 slide. I think we're going to have a bit of a joint go at this one. So if I pick up in terms of PRS and first-time buyers and if Mike picks up in terms of the part exchange element of it. So I mean, I think on first-time buyers, look, unquestionably, the bank of family, as [ Ians ] get referred to, is very, very important. Now I can't say this is the percentage because, as you know, we are separate from the independent financial advisers. So we don't really get into the nuts and bolts of that. But I think it's well documented that, that has become more and more important post '22 as interest costs have risen substantially. So it's good to see a little bit of a tick up generally in first-time buyers. But as we touched on in some parts of the country, particularly London and the Southeast, I think first-time buyers are largely priced out of the market, even in some cases with Bank of Family, looking at deposit levels that are well in excess of GBP 100,000 for a lot of purchasers because they don't want to be in there on a 95% loan to value. They want to be in on 85%, et cetera. So that's the first thing. In terms of PRS, we can unquestionably operate in a 5% to 10% range. The deals tend to be quite large. I mean they might not all be delivered in the same year, but I think you would tend to be looking at deals that would be for us historically between 250 and maybe 750 homes. So that might be delivered over 2 financial years, but it can have a significant impact one deal in terms of the percentages. So at the 4% percentage, we're obviously just outside that range. But we are hopeful of closing some PRS deals certainly in calendar '26, which will materially alter those percentages. Mike, do you want to just talk a bit about PX?
Mike Roberts: Yes. So we have introduced our PX proposition more heavily into Redrow, and that's seen an increase. So part of that increase is certainly just the extra volume that's coming through Redrow. It's not all of it by any stretch of the imagination. It's a more popular incentive that our customers are utilizing. I think the reason for their utilization is -- I think there's many factors. A lot of it is around just simplicity in that clearly, we sell their houses eventually. So we don't carry PX for the next 12 months that they can't sell. So we can sell their houses, so they could sell their houses. It's just about simplicity. And there's an element of when somebody visits the site and set the heart on a plot, if they're not in a position ready to go, say if the PX, we can take that reservation and reserve the plot that they want. So a lot of it is around consumer choice rather than necessity. Does that answer the question? I think that's helpful.
John Messenger: Great. Glynis?
Glynis Johnson: John, I'm going to throw some at you actually. So I'm going to -- just a few that hopefully are very short answers. I will reel through them. Given the order book on the affordable, what should we anticipate in terms of the affordable private mix this year and maybe into next year? Second of all, the gross margin on your acquired land, can you confirm what you're actually buying in at? And thirdly, just in terms of the completed development provision, what was it last year? Is it always around that level? If this year was unusual, why? Next, the third-party payments for the build safety provisions. So that's in the gross profit, but you're taking the legal fees for getting them in the adjusted. Is that correct? And then 2 that require perhaps a little bit more color. One, the size of the outlets, is that to do with just the fact you're putting 3 ranges on it? Therefore, it's each size of site is 3 outlets? How should we be expecting that average size of outlets to progress? And then lastly, just in terms of the land approvals, there obviously the guidance has changed quite substantially. Can you give us a bit of color about why that's happened and what that might mean 1, 2 years out?
David Thomas: So if we start off, we can't do just one word on each, but we'll try. So order book affordable through the mix. So I think if you look at 10 years for us, you would conclude that somewhere around 20%, 21%, that sort of level is what we would deliver in terms of affordable housing. What we saw last year was really quite an unusually low level of affordable housing, a lot of which was driven from Redrow because Redrow had been very high in the year to June '24. So in terms of the sort of pre-acquisition position, Redrow was very high in that year. So when you look forward, I would think that kind of 20%, 21% is what we should look at. In terms of gross margin on acquired land, we've said that we're acquiring on a gross margin at 23%. We're very comfortable with that in terms of the forward acquisition position. And once all of our cost and procurement synergies are embedded, we should be acquiring on a gross margin at 24%, which is just in line with what we said last year. The CDP, I'm going to pass to John because I'm not sure I understood it, so I'm just going to pass it to John. And then Building Safety, I mean, anything relating to building safety should be in adjusted. So the legal fees in respect of recovery are in adjusted and any recovery of costs would be part of our adjusted provisioning and therefore, is in adjusted. So we're not putting the recovery in gross margin and the costs in adjusted. And everything else is over to you.
John Messenger: Right. Yes, yes. So just on that one, gross profit, the ones I quoted here were excluding that GBP 13.4 million gain. So -- and we're obliged to recognize that through income rather than take it as a deduction against our provision as well, just the IFRS rules we operate within. On the completed development accruals of provision, that does tend to move around a little bit. If you look back at the full year, it was a credit. So it helped us at the last full year sort of results. It does kind of ebb and flow depending on sites and the number of outlets coming to kind of closure basically as well, Glynis. So when a site closes out, you obviously then have that period, it's waiting for local authorities to adopt is the big issue there. So it does tend to be down, but it's the incremental, that's the change year-over-year. So you can see that impact there, but happy to talk about afterwards. On the third party -- sorry, I'm just looking at third party for building -- sorry, outlet size, coming on to that one. If you look at the outlet size, we're talking -- if we look at -- we think of developments and then we think of outlets. And clearly, as we look at particularly land deals that involve larger sized developments, that's where the opportunity is for us to bring on 2 or 3 brands to optimize those at that kind of 140, 150 per sales outlet, which then gives you the lifetime of 3 to 4 years. So as we look at land opportunities and how that will be driven by development activity, it's looking at those and thinking, okay, what can we do here that will optimize the brand choices, and that is kind of the differential there. So it's all about trying to optimize the speed at which we're going to be there with the show home with the sales team, building out and completing the sales. On the other one on approvals, really more a function of just the opportunities in the market, but also a deliberate point for ourselves is that, that pipeline that David mentioned on strategic land conversions, we've got a hopper there of about 27,500 plots. Now those have all gone into planning across 103 applications. The time frame over which they may come through on planning is something we want to be prepared for. And therefore, the focus has been on really optimizing the existing land bank because obviously, we were sitting there in excess of 5.5 years when you look back 6 months ago for the last 6 months, it's been about what can we do across the portfolio, either splicing and dicing the current land, but also looking at that strategic and what's going to come through. So this will give us flexibility to infill and to look at the strategic stuff as that comes through and then look at elsewhere in the market. So I think that hopefully covers that one there. And I think that covers a lot.
David Thomas: So Glynis, so just on the consented plots number, I mean, you can see that over the last 3 reporting periods, it's recent reporting periods, it's reasonably consistent. But just to illustrate it, when we add in the revenue synergy outlets, what we should do is see an increase in outlets and no increase in plots. And therefore, the revenue synergy outlets will drive that number down. So I do think that when you look at the land bank, that number is very important because I mean that is a kind of measure of the sort of raw efficiency of the land bank, i.e., if you've got one site for 1,000 plots, the answer is 1,000. And if you've got 3 sites on that 1,000 plots, the answer is going to be 330. So I think it's an absolutely key measure in terms of looking at that efficiency ratio.
John Messenger: Rebecca, then we'll have a couple more after that, conscious of time.
Rebecca Parker: Just a couple from me. The first one, just wondering if you can talk to kind of how that net cash balance moves into the year-end, I think you're sitting about 170 at the half, but expecting 400 to 500, just some of the moving parts there, knowing that there's going to be some more volumes coming through, but then I guess, an increase in WIP as you increase your outlet profile. And then just following on, on the approvals on the land bank question before. So would we expect to see the land bank, I guess, roughly stable here as, I guess, you're doing less approvals, but getting more from your strategic land bank. And then on the outlet opening profile as well, just wondering how many of those 20 to 30, I guess, increase in outlets do you think that you'll be doing dual or triple branded outlets? How many of those outlets?
David Thomas: Okay. So if John picks up in terms of the net cash balance and how that will progress towards the year-end. And then I think I'd ask John to pick up on the outlet opening profile. But what I would say in the outlet opening profile is that which I'm sure John will just restate that position, but we are talking average outlets. So therefore, if we were saying our average outlets are going to move from just above 400 to 425 to 435, we've also got to open a lot more outlets during the course of that year. But John can just outline that in terms of figures. I think in terms of the land bank and the approvals, we feel that we have a lot of flexibility. We've set out what I think is quite a strong growth agenda in terms of our outlets profile. So to move from where we are now to a sort of net outlet position of around 500. So broadly, we're moving from 400 to 500 over a period of time. I think with our land bank at 5.6 years and the strategic sites that we have in for planning, we see that we have a lot of flexibility. So we've set a target, which we'll obviously keep under review, but we've set a target of between 10,000 and 12,000 for this year. We'd be happy to be at replacement level. So if in FY '27, we were at replacement level, say. But the reality is we are very happy to shrink the land bank as long as we're delivering the required number of outlets. So I think we see that drive to 500 outlets as being the absolute key thing that we're trying to achieve.
John Messenger: And maybe just before going to cash flow, just finishing off on the outlets point, I guess, certainly, when we think about the 30 synergy outlets that are opening, by default, those are generally going -- they're dual because they're an existing site that's adding Redrow to it or Barratt or David Wilson on to a Redrow. I'll get hold of some numbers, so we can always share with them with you, Rebecca. But primarily, it's dualing, but there will -- there are, I think, a handful of triple sites as well. So within that mix of synergy sites, some of them were already David Wilson and Barratt and are having Redrow added to them. So I think there's half a dozen that will be ultimately broadly triple site opportunities once we get through there. But then on cash flow, I guess, 3, I think, big ingredients really in terms of cash flow performance in the second half. First is clearly operating profit in terms of driving the initial -- our profit from operations in the second half should start as a significantly higher number. If we look at our working capital and particularly the construction WIP where we had that GBP 313 million outflow, including Part Ex, broadly 3/4, if not more of that should come back in the second half given the seasonality of our working capital cycle in terms of completions in the second half. The other one in there is then land where we would expect, as David mentioned, we're probably going to actually end up unlocking a bit of value in land in the second half. If you put those together, plus the dividend, obviously, in terms of the interim going out, which is probably GBP 60 million and the buyback of GBP 50 million, those together should get you back to that kind of somewhere between the GBP 400 million and GBP 500 million net cash at the year-end. Conscious, 2 more, Charlie, and then we'll go to the back. And I think that will probably be our time limit.
Charlie Campbell: Charlie Campbell at Stifel. Just one really. Just on mortgage availability, not something you've talked about today. There are clearly quite a few changes going on there. So just wondering what the banks are telling you in terms of mortgage availability for calendar '26. Any changes there? And I suppose just to help us think about that a bit more, any changes in the customer mix in January versus, I don't know, say, July for the sake of an argument before people started to worry about property taxes in other direction?
David Thomas: Okay, Charlie, if I pick them up. I think the mortgage backdrop is of gradually improving backdrop. I would say from probably 3 particular points. One, from a regulatory point that there has been a free up of the regulatory environment in terms of, as an example, the earnings multiples that is allowed to be lent. So there's no question there's a free up of the regulatory environment, which is a positive, but it's obviously been a relatively slow burn. So that is good. Secondly, I think generally, there are more and more mortgage offers that are at 95%. Now the reality is that, that isn't necessarily fully addressing affordability because the 95% mortgages can be expensive. And therefore, if somebody is comparing that to renting or staying at home, it isn't necessarily giving them what they need. And then I think the third area, which isn't particularly big for us, but it's certainly big in London is that there has obviously been more of a movement to higher loan to values on apartments. And we came from a situation, albeit a long time ago where most banks were lending perhaps 10% different as a maximum LTV. So if they were at 90 in houses, they would be at 80 on apartments. So again, we've seen some freeing up in terms of that environment. I would say overall that there's not any big change in customer mix. I mean we -- to some extent, I know it's both product and customer, but we're giving some indication of customer mix on the slide that we went through in the Q&A. But I think there's 2 customers that can really just sit out the market. So in periods of uncertainty, One is a first-time buyer who I would say generally can sit out. They would normally be living at home or renting and they can sit it out for some period of time. And the other category of customer who can sit it out is the downsizer and the downsizer was a significant part of the Redrow business. So I don't think that those are customers that have gone forever almost by definition, the first-time buyer and the downsizer can come back into the market, but they can certainly sit it out. And Redrow has seen that in terms of maybe where they were on cash sales so circa 40% of their business was cash sales, and they're now around about 30% of the business being cash sales. And that will be primarily first-time buyers sitting out -- sorry, downsizers sitting out.
John Messenger: Peter, did you have a question?
Peter Ajose-Adeogun: Peter Ajose-Adeogun, Morgan Stanley. It was a similar question really just in terms of the growth going forward, which customer segment do you expect to grow the fastest just because when I look at some of the metrics on first-time buyers, I think 1 in 3 now in terms of purchases in the U.K. will be first-time buyers. There's perhaps a notion that maybe not to disagree with you, but they can't sit it out because maybe they've got family formation or they'll do more to kind of get it done. And so just in terms of where you think the growth will come from if first-time buyers are starting to run too hot in terms of the level of completions they make up in the U.K.? And also maybe if you can give some color on where -- how down it is from the peak for you first-time buyers in your business?
David Thomas: Okay. Thanks. I mean, that's quite a big question. So I think if you step back for new build and for Barratt Redrow in particular, I think a really big opportunity for us over the next 3 to 5 years is about the efficiency of our homes and the substantially lower running costs of our homes. And therefore, I think from a Barratt Redrow point of view, I would say that we mainly want to take market share from the secondhand market. So we don't mind if they're first-time buyers, secondtime movers or downsizers, we should be actively seeking share. And we can do that as we talked about through a part exchange offer for existing homeowners, but we can also do that through demonstrating substantially lower running costs. And the running costs are not just about the heating or so on. The running costs are also about you don't have to put in a new bathroom or a new kitchen within the first 2 or 3 years. So in cash terms, there are big, big benefits of newbuild. And so that's the first area that we should look at. And then really in terms of the mix point, I would say that we should expect to see more growth on first-time buyers and more growth on downsizers across the piece. And I do think for downsizers that there is more we could be doing in terms of part exchange offers with downsizers. And that's something that we've been looking at quite actively because we would tend to say that your house can't be worth more than the house you're buying. And therefore, that precludes a lot of downsizers. And I think that's something where we need to challenge ourselves in terms of how attractive we can be to downsizers. But I think you see on downsizers that a lot of what they want is low maintenance, low running costs and not having to think about replacing kitchens and bathrooms and so on.
John Messenger: Great. I think consciously, we are 10:00. Any last ones? Otherwise, thank you, everybody. and over to David.
David Thomas: Yes. Thank you very much. I appreciate all the questions. Thank you, and we will be back in April with a trading update. Thanks very much.